Operator: Please standby. Greetings and welcome to First Republic Bank's Fourth Quarter and Full Year 2020 Earnings Conference Call. Today's conference is being recorded. During today's call, the lines will be in a listen-only mode. Following the presentation, the conference will be opened for questions.  I would now like to turn the call over to Michael Ioanilli, Vice President and Director of Investor Relations. Please go ahead.
Michael Ioanilli: Thank you. And welcome to First Republic Bank's fourth quarter 2020 conference call. Speaking today will be Jim Herbert, the Bank's Founder, Chairman and CEO; Gaye Erkan, President and Board Member; and Mike Roffler, Chief Financial Officer. Before I hand the call over to Jim, please note that we may make forward-looking statements during today's call that are subject to risks, uncertainties and assumptions. For a more complete discussion of the risks and uncertainties that could cause actual results to differ materially from any forward-looking statements see the Bank's FDIC filings, including the Form 8-K filed today, all available on the Bank's website. And now, I'd like to turn the call over to Jim Herbert.
Jim Herbert: Thank you, Mike. 2020 was a very strong year for First Republic. We have been consistently profitable each year for the 35 years since our founding in 1985. 2020 loan origination volume was over $50 billion, a record. Importantly, we were able to fully fund our loan growth with deposit growth. Wealth management assets grew more than $43 billion during the year and are now just short of $200 billion. Importantly, the majority of the growth during the year was driven by net client inflows. This year has proven once again the resilience of our high-touch client-centric service model, both delivered in person and through digital channels. The trusted relationships between our bankers and our clients have proven to be more important than their social proximity. In fact, early results show that our 2020 net promoter score, the measure of our client satisfaction is at least as high as the prior year. This client satisfaction level is more than twice the banking industry's average and is our growth driver. Gaye will discuss in a moment how we are further using technology to enhance this client service experience. Our continuing consistent performance under a wide range of economic conditions demonstrates the stability and long-term nature and power of our client service model. Let me cover a few metrics for the year. Total loans outstanding were up 22%, total deposits have grown 28%, and wealth management assets increased 29%. This strong growth in turn has led to strong financial performance. Year-over-year, our revenues grew 17%, net interest income grew 18%, and the real bottom line tangible book value per share has increased more than 14% during the year. Most importantly, our credit quality continues to be exceptional, maintaining consistently strong credit in all economic and market environments is a hallmark and a focus of First Republic.
Gaye Erkan: Thank you, Jim. 2020 was indeed a very successful year for First Republic. We delivered record results while also supporting our colleagues, clients, and communities during this challenging time. For example, in 2020 we are pleased to have welcomed more than 600 net new colleagues to the organization and rolled out a number of new benefits to support the well-being of our colleagues. We made more than 4,000 client-friendly loan modifications for our clients impacted by COVID. We delivered over 11,500 PPP loans to small business and non-profit clients. We did this all while originating a record number of loans.
Mike Roffler: Thank you, Gaye. Let me review the results for the year and quarter, and also offer some guidance for 2021. Our capital position remains strong. During the fourth quarter, we successfully raised $225 million of common stock and completed the redemption of the Series F preferred stock. In total during 2020, we added over $900 million of net new Tier 1 capital. Liquidity also remained strong as high-quality liquid assets were 12.8% of average total assets in the fourth quarter. Our credit quality remains excellent. Our provision for credit losses for the fourth quarter was $35 million. This provision was driven almost entirely by our strong loan growth. As Jim mentioned, for the entire year net charge-offs were only $2.4 million, one-quarter of one basis point of average loans. Over this period we added $157 million to our reserves. We're pleased with the progress of our COVID loan modifications. At year-end, COVID modifications totaled only 1.1% of the total portfolio, down from 3.7% on September 30. In 2020 loans were up a very strong 22%, excluding PPP. For 2021, loan growth is expected to be in the mid-teens range. Our net interest margin has remained stable at 2.73% for the fourth quarter and 2.72% for the full year 2020, in line with our guidance. For 2021, our net interest margin is expected to be in the range of 2.65% to 2.75% consistent with current levels. Within this range our net interest margin may be influenced by higher cash levels, as a result of current economic conditions and government stimulus. Our efficiency ratio was 61.6% for the fourth quarter and 61.9% for the full year 2020. As a reminder, the efficiency ratio has benefited from reduced marketing, travel and events due to the pandemic. For 2021, the efficiency ratio is expected to be in the range of 62% to 64%, as we continue to invest in our business and regulatory infrastructure. Our effective tax rate was 20.2% for the full year 2020, in line with our guidance. For 2021, we expect our tax rate to be in the range of 20% to 21% assuming no change to the corporate tax rate. Overall, it was a very strong year that speaks to the sustainable power of our client service model.
Jim Herbert: Thank you, Mike and Gaye. Although, it's a strong quarter and a strong year, First Republic's simple, straightforward, very client-centric business model has proven to be consistent in a wide variety of environments, delivering exceptional client satisfaction one client at a time year-in, year-out is the driver of our growth and success. Our high-touch model is being further enhanced, as you heard from Gaye, in our growing digital capabilities. Looking ahead to 2021, we expect to continue to deliver safe organic growth coupled with very conservative underwriting standards and strong capital at all times. Now, we'd be happy to take your questions.
Operator: Thank you.  We will take our first question from Steve Alexopoulos from JP Morgan. Please go ahead.
Steven Alexopoulos: Hi. Good morning, everyone.
Jim Herbert: Good morning.
Steven Alexopoulos: So Jim, one of the hallmarks clearly of the franchise is consistency. And when I look at the macro backdrop for 2021, the one variable that may not stay consistent are longer-term interest rates. And if we look at 2020, right over two-thirds of the loan growth was from single-family. So, can you walk us through -- I know Mike said, mid-teens loan growth again is the guidance for 2021, but how do you see that playing out if we see a material increase in mortgage rates?
Jim Herbert: If you see a material increase in mortgage rates that the competitors pass through, remember how liquid the system is. You will, have a rise in rates at -- you'll have a slowdown in refinance. Purchase finance may not slow down all that much because demand is very high. The problem on the purchase side is supply actually, not demand. I would think that the -- 66% of our loan business in single-family this year was refinance. That would probably slow down, and in fact we think it may anyway because the rates are already up a little bit. We don't worry about a move that will be destructive to the market. Mortgage rates are going out at the high 2s, low 3s, but mostly high 2s. I don't think the low 3s to the mid-3s slows down purchase finance very much; it does slowdown refinance, I think.
Steven Alexopoulos: Okay, that's helpful. And maybe for Mike Roffler, if we stay with the theme of potentially rising rates, assuming that happens we'll see, but given that loan sales have been so elevated, how much of a rise in the 10-year do you think we would need to see before you would start to see that translate into NIM expansion? And I recognize this as much art than science, but any color would be appreciated?
Mike Roffler: Well, I think one of the things Jim said that I think is important to think about is that competitors and how do they feel about pricing in the market. So even though the 10-year has risen in the past couple of weeks, I don't think you've seen much change in mortgage rates to the consumer, clients at all. So, I think it will be very dependent upon what happens with competitors and do they pass that through or not.
Steven Alexopoulos: Okay, got it. And then finally for Jim, and I think I've asked you this every quarter since COVID really broke. But if we think about credit, how do you see the rest of the cycle playing out from here, particularly when we think about commercial real estate, whether it be in New York or San Francisco? And if we get -- I think Biden administration may announce $2 trillion of additional stimulus tonight, does that eliminate a cycle or do we still have losses coming like -- you've been through so many cycles, how do you see this playing out from here? Thanks.
Jim Herbert: It's hard to call a crisis, it's just an estimate. But it does seem to us that certain asset classes that were particularly disadvantaged are beginning to find price points. Hotels, very limited quantity, but they're trading down, obviously. The biggest unknown is clearly retail. We don't have an opinion on that to be honest with you, it's got to just find its level that's going to work, and I don't know what that is. Office space is clearly available and the cities we operate in, we can't speak about others, but the cities we operate in there is all of a sudden a bit of an excess of office space. New York is, particularly, I think hit hard, but it's also -- but rental, particularly in new A buildings are finding a rental level that is being signed up, probably down 15% from what it was before. The question is how far down it will ripple in the quality stream from A to B to C properties, that's not yet clear. Single-family is another matter, it's picking up pretty good even in New York. But I think that the cycle is probably within a quarter or two maximum of the bottom would be our opinion.
Steven Alexopoulos: That's very helpful. Thanks for taking all my questions.
Operator: We will now take our next question from Christopher McGratty from KBW. Please go ahead.
Christopher McGratty: Okay, good morning. Mike, maybe a question on the efficiency. I think your initial 2020 guide was 635 to 645 and you outperformed that by 150 basis points to 250 basis points. I guess, number one -- the first question is how much of that would you attribute to just the COVID impacted relief on certain expense items? But then secondarily positive operating leverage is pretty notable for the year, which is in the past not has been as significant. How do we think about positive operating leverage potential in '21?
Mike Roffler: So, thanks for the question. I think that you're right being at just under 62% for the year definitely did benefit from a lack of travel, a lack of in-person client events. My guess is we're at least a percent higher if you have those items at a normal rate. In terms of positive operating leverage, obviously, we're pleased with the year. I do you think those costs will start to come back in 2021, and that's probably later in the year they'll start to come back because of vaccines and people wanting to get out. So, I think that's why the range sort of went to 62% to 64%. We also are continuing to invest in the franchise. We've talked about on several calls, Hudson Yards coming online this year; the core conversion being worked on. And so, we're continuing to support the franchise and the one we think that the range is appropriate for next year, and the other side of that is important is the margin being relatively stable.
Christopher McGratty: Okay. If I could just ask a follow-up on the margin, the momentum in the deposits has enabled you to reduce higher cost borrowings. Any comments about the ability to further remix the liabilities towards your -- lot of basis points cost of deposits versus north of one on the borrowings?
Mike Roffler: Yes, I think we're really pleased with the deposit growth, which has allowed us to reduce our FHLB advances, which are a little bit higher costs. I think next year, we have about $5 billion that comes due, so you either renew at lower rates or will remix those as we look at optimizing our funding whilst deposit growth remains strong you can reduce those even further to keep your funding costs at a pretty low level.
Christopher McGratty: And where were those refinance costs be today if you were to swap them out?
Mike Roffler: Term FHLB is if you sort of in a four-year range is probably around 50 basis points, 60 basis points.
Gaye Erkan: The way you may want to think about it is the spot deposit rate is a 10 basis points average was 11, and where we are seeing incremental asset yields coming in at about 3% call it, and incremental funding costs at about 30 basis points. The 2.70% is right smack in the middle of the 2.65%, 2.75% range, but that's one driver of the equation. The other driver is the safe and sound earning asset growth that's driving the NII and we'll continue to invest into our biggest strengths, our people and our service model. So we'll continue to make investments, whether it's core Hudson Yards and what not, because we're more long-term driven than short-term investments.
Christopher McGratty: Great. Thanks for the color.
Operator: We will now take our next question from Bill Carcache from Wolfe Research. Please go ahead.
Bill Carcache: Thank you. Good morning. I wanted to ask about growth in particular next-gen, which represents 34% of consumer borrowing households. How high does that mix go from here? Any color you can give on the trajectory that you expect would be helpful. And so sort of along these lines, I don't think next-gen household growth was a focus of yours in the last SERP cycle. So any thoughts around how you think the low rate environment is impacting next-gen growth and what kind of impact, if any, you would expect from a higher rate environment?
Gaye Erkan: Absolutely. So we're very pleased with the success of our Millennial strategy. Over 35%, close to 40% of our borrowing households are millennials, which is a significant increase compared to 2015 type of levels. And our Millennial strategy goes way beyond the interest rate environment. So, a) We have seen some trends in terms of the suburbs, some clients are buying secondary homes that the millennial population with kids, for instance, are accelerating their first-time homebuyers, especially in the suburbs, which we have been able to help those clients. And in order to serve these clients, we have also been continually expanding our toolkit. So for example, we have included the personal line of credit, in addition, to a professional loan program a little bit, advisory and financial planning products and we see that we are getting the same great next-gen clients who are asked to a slightly further along in their lives and closer to buying a home or already refinancing with us. So -- and the digital investments in the next-gen population, while they'll value the human to human relationship, at least the clients with First Republic, digital and mobile-first is important. All the investments we've been making all along have been paying off handsomely in serving our clients in the next-gen population.
Bill Carcache: Got it. And presumably, not all of your next-gen households are high net worth, can you give a sense of the extent to which you're seeing some of those next-gen households eventually becoming high net worth?
Gaye Erkan: Absolutely. So our clients are urban, close to professionals, highly employable, highly educated conservative prudent financial decision-makers. So whether they are millennials are baby boomers, actually, the earlier we catch them in their life, we grow with them and they grow with us trusting us as their trusted advisor, so that's the most important key. So as we have seen in our Eagle lending, the way that we have successfully navigated the COVID environment, our clients have been very prudent financial decision-makers. So we will continue to grow with them and create route for them.
Bill Carcache: Thank you. And lastly, if I may, I think you gave a little bit on the kind of new money rates that you're seeing on lending and securities. But I was wondering if -- on the securities portfolio, specifically, if you could discuss how you're thinking about reinvestment risk, given the dynamics around anticipated maturity schedules and call provisions?
Gaye Erkan: Absolutely. So we are seeing. And then we look at it across the asset side, so we're seeing HQLA at about 1.25% to 1.5% government agency HQLA. Munis that are seeing and majority of purchases being HQLA munis in the 2.75% TY type of range, although with the 10-year selling off a bit. So that's helping the yields compared to single-family at 2.75% to 3% range and multi-family and CRE at 3% to 3.5%, but the majority of the originations have been single-family residential originations and some multi-family refi. So earning asset yields are coming in around 3%, with incremental funding costs at about 30 and slightly better, so that's the range at 2.65% and 2.75% on the NIM with strong earning asset growth.
Bill Carcache: Thank you. And then the dynamics around some of the reinvestment risk given the maturity schedules and call options, any color on that?
Mike Roffler: So I would just comment. I mean, obviously, we do have repayments on government agencies and things like that. We haven't seen our investment portfolio grow as much the last couple of quarters, if at all, because frankly, we found a better way to put that money to use from a liquidity standpoint in the client activity and client demand. We do have investment portfolio that we've averaged in over frankly, a 10-year basis. So there is always periodic calls and redemptions that occur, but nothing that's coming out in a big jump or a big amount.
Bill Carcache: Understood. Thank you for taking all my questions.
Operator: We will now take our next question from Ken Zerbe from Morgan Stanley. Please go ahead.
Ken Zerbe: All right, great, thanks. The first question is for Mike, Mike I certainly heard your guidance for mid-teens loan growth next year. I guess I'm looking at one of your slides, it looks like Slide 2, where it states very clear you've grown loans 20% CAGR for the last 10 years, if I just take the average five years of loan growth, you've -- you're also up 20% a year. Mike, what response would you have to someone who says that maybe your 15% is probably just a little bit too low? And maybe 20% is kind of the right number for loan growth on a go-forward basis. Maybe not so much next year, but just over the next several years?
Mike Roffler: Yes. No, look at that. It's a totally fair comment and you're -- I think you're referring to the investor deck that's got sort of a 10-year historic look, I think the most important thing to remember is we don't set any loan targets, right? Our client-facing people, their role is to serve the client need and client demand for whatever it might exist via deposit activity, wealth activity or home loan buying or businesses. So when we sort of start the year, we feel that that's an appropriate measure based on sort of client demand, maybe the economic environment. How we're feeling about our different geographies, and you know we've obviously outperformed that over a sustained period of time, but we're not going to chase either. The first question is, I think we're talking about higher rates and does that impact volume? That does impacts and refinance activity and a lot of our refinance activity comes from other banks, and so that also has an impact. So I think, we think it's a prudent way to plan and to estimate, but also do what the good business is right in front of us and not trying to stretch for it.
Ken Zerbe: All right, understood. So you definitely done well in the past. Maybe the second question I have, I know you provided this in the 10-Q, but how much of the growth in wealth assets came from market appreciation versus net new client inflows?
Gaye Erkan: Majority came from net client inflows, about $25 billion was client inflows and $18 billion was a market increase.
Ken Zerbe: Do you have that for the quarter, though?
Gaye Erkan: Yes. For the quarter, we have about -- $12 billion came from net client inflows, $12 billion - $13 billion.
Ken Zerbe: Perfect. All right, thank you.
Operator: We will now take our next question from Erika Najarian from Bank of America. Please go ahead.
Erika Najarian: Hi. Good morning, everyone. My first question is on the dynamics of growth in the quarter. I guess it's a two part question. The first question is if you could just talk a little bit about the investment cycle dynamics that propelled such robust capital call line growth? I think everybody was surprised to the upside. And second, given the compounding nature of the clients that you actually have in-house, I'll be curious to understand in terms of all your single-family originations in 2020 how many were to new clients to the bank?
Gaye Erkan: I'll start. Hi, Erika. So on the capital call line private equity has been quite strong with active deal flow, stronger realized gains, and the new fund formation particularly towards the end of the year. The strong momentum we expect to continue into 2021 as well, given the low yields and all time high equities, attracting more investors into private equities, and the utilization rates do vary. So we look at the commitments growth, as you have seen that the commitments growth has been quite strong, especially in the capital call line about 35% sales growth and commitments, and we remain conservative in terms of repayments general within 180 days. So -- and then on the single-family residential side, 66% of the originations for refi, out of those refi over 60% were with new -- acquiring new clients, clients with loans at other banks. So continues to be a very strong means of client acquisition.
Erika Najarian: Got it. And my second question is for Mike. I think that we're entering the year with the market enthusiastic about potential curve steepening. So as we think about the net interest margin range, which has stayed steady, how should we think about -- at what level of front book rates would you be more compelling to redeploy the cash that you have, and given also your starting point from 2.73% I guess could you be outside of the range on the upside, if we do have a steepening of the curve that would encourage you to be more aggressive with deploying that excess cash?
Mike Roffler: Yes. So I think we always want to remain very prudent and Gaye mentioned some of the agency paper, a one quarter is not real attractive right now. And given our loan demand, we'd rather carry a bit of cash balance and put it into client activity versus securities. I mean I think the last couple of quarters, our margin has been very stable, 2.72%, 2.73%. And we've sort of found a pretty good place, with the example Gaye gave, about current loan yields, earning asset yields around 3% and funding cost 30 or slightly less. The variability largely I think will come from the amount of cash we hold, right? So I think you saw the cash balances up on average a little bit in the fourth quarter. And yes, we still were around -- the margin was actually expanding slightly. So we're in a pretty good place, but I don't think that -- unless competition moves up mortgage rates I don't think there is a big chance of sort of outside of the range at this point.
Jim Herbert: Let me just add Erika to that, it's Jim. We don't, as Mike said earlier, we only respond to the volume of good deals we see coming in. We don't chase deals, because we have extra cash and you're very aware of that. But I think in the environment that's going on now, back to Steve's earlier question, one of the risk factors in the environment right now with as much liquidity out there is this credit standards decline. We are very -- we will not do that. And that's probably going to be the biggest constraint on our cash utilization in lending.
Erika Najarian: Got it. And maybe if I could just squeeze in a third question. So I think there is no other word for it, you guys fundamentally clearly killed it this quarter, margin expansion, robust loan growth. I don't think I'll see that in any of my releases for the rest of the season, and yet the stock is under-performing today, and the market is the market. But maybe, Jim, this is for you, could you remind us as you've been through many cycles, what does the fundamental trajectory typically look like for your bank in year-one of an economic recovery?
Jim Herbert: We generally do very well during a difficult time, in part because we are well capitalized and clean and able to continue to expand our business base and take in new clients during that period. 2020 is definitely a year of that nature. That usually gives us a larger balance sheet going into the recovery moment, which you are looking at this very second. The balance sheet growth this year was unusually strong, even for us and that's a result of a slowdown in competition during the sort of first half of the year at least and actually still continuing. And it's not just competition pulling back, it's delivery quality and things of that nature. Our pickup of new households this year was probably a record number, both in absolute and percentage-wise. And I think that we -- I would say we will do very well usually in the first year of recovery if you look back over four or five cycles.
Erika Najarian: Thank you.
Operator: We will now take our next question from John Pancari from Evercore. Please go ahead.
John Pancari: Good morning. I heard you on your mortgage comments and that's helpful in terms of the impact of potentially higher rates and what it means for refinancing activity. So I just want to basically see if you can help us in terms of the actual growth that you would expect on the mortgage front in terms of our on-balance sheet loan growth, is it fair to assume that you do expect slower mortgage growth, given how much of your volume has been refinancing activity and the fact that you acknowledged that could slow?
Jim Herbert: I would not automatically extrapolate our comments to that. We're just saying that the refinance will at some point slowdown. It's not slowing down very much yet, but if the 10 year continues to move up in due course the refinance part of the demand will slow down. So -- but I wouldn't -- we're not saying that it's happening now, we're just saying it could easily happen.
John Pancari: Got it. Thanks, Jim. Related to that, if we -- if that was to happen and we saw some moderation in on-balance sheet mortgage growth, do you see offsets in other parts of your portfolio given the relationships that you've added that would mitigate that and keep you in that loan growth range that you expect?
Jim Herbert: Sure. The CPR -- the repayment rates slowdown simultaneously, and a slowdown in refinance does not necessarily -- rising rates means a stronger economy, stronger economy needs more home purchase and more multi-family purchase et cetera. So they actually offset pretty. The refinance slow down or speed up is always slightly faster, but there -- but if you look back at the consistency of our growth over those 10 years, that's one of the reasons we put that out there, those are -- that growth is consistent through up and down rate cycles.
John Pancari: Got it, that's helpful. Thanks, Jim. One last question on the margin front, on the -- I know you talked about new money yields. Can you just give us where the new money yield is for the capital call lines that you're putting on the portfolio currently?
Gaye Erkan: Coming in around 5 minus 50.
John Pancari: Okay, got it. All right, thank you.
Gaye Erkan: Thanks.
Operator: We will now take our next question from Dave Rochester from Compass Point. Please go ahead.
Dave Rochester: Hi. Good morning, guys, nice quarter.
Jim Herbert: Thank you, Dave.
Dave Rochester: I wonder if you talk about some of the assumptions behind that margin range if it assumes the current curve persists going forward. What you're baking in for deposit growth to be able to fund all the loan growth and maybe some cash going to pay down some of the borrowings, any additional color there would be great?
Mike Roffler: Yes, I think, well, clearly the Fed has been very public about being on hold. So we're not assuming any type of Fed funds move. I think the current yield curve is -- forward curve is about as good to look at from an expectation standpoint. And then I do think that like this year, we were able to fully fund our loan growth with the public deposit growth, which we would like to continue into the future. And so that may allow for some remixing of FHLB, you're going to get some of that benefit anyway as you refinance maturities as I mentioned earlier. Gut as Gaye mentioned, and I think we've reiterated, our loan assets are coming in right around 3% and funding depending on the mix of liabilities is sort of 30 basis points or a little less. And so we're right in this 2.70-ish range and then the variable largely would be how much extra liquidity are we carrying at any point in time.
Dave Rochester: Got it, that makes sense. And then switching to capital, how are you guys thinking about levels here, it sounds like you're still very comfortable with where you are, but looking at the Tier 1 leverage ratio it's just over 8%. I was just curious how you're thinking about that. And would you let that slip to below 8%?
Mike Roffler: Dave, I mean, I think we've been pretty consistent that we always remain opportunistic and think about the markets. But that being said, the balance sheet is very safe right now and some of that leverage ratio is driven by the previous conversation we had with cash. And so could slip a little bit? Sure, but at the same time, we're always reviewing what the markets look like and opportunistic for small raises depending on those markets.
Dave Rochester: And maybe just one last one on expenses. Just given your base case for growth and revenue levels this year, how does that efficiency ratio range translate into an expense growth rate range for the year, roughly?
Mike Roffler: Yes. So I think if you take some of the comments we've made about mid-teens loan growth with the margin that  cash is pretty stable. That translates to probably about a mid-teens revenue growth rate, and then you've got an expense and efficiency that's a little bit higher than this year. You're probably in that mid-teens range from an expense standpoint. As we continue to invest in the franchise, as we've talked about be it the core conversion, opening up of Hudson Yards, continuing to invest in our regulatory infrastructure. It feels like that's about the right percentage-wise increase.
Dave Rochester: Yes. Okay, all right. Thanks, guys.
Operator: We will now take our next question from Casey Haire from Jefferies. Please go ahead.
Casey Haire: Yes, thanks. Good morning. Just wanted to follow-up on the efficiency. Mike, I think you said, it's a 100 basis points impact from no T&E around COVID. So, I'm just curious, it's obviously, been a very strong origination year, you guys have a net promoter score, which I know is very important to you, was flat to maybe even up a little. I'm just trying to understand why are you guys so eager to turn on that spend when you've demonstrated that you can deliver while what was running more efficient?
Mike Roffler: I think it's a very good point. I do think it will probably come later in the year. And it may not come back at the same levels, right, because -- you're absolutely right, we have learned and done this remotely and so there'd probably be some review of things like that and whether we do as much in the future is up for discussion, but I --there will be some modest increase, of course, but I think it won't be probably back to normal during 2021.
Gaye Erkan: And let me just add. There is also a lot of growth opportunities in front of us in the markets that we are in, as well as the Bellevue teams, for instance, that we have mentioned and that core coming in. So from that perspective, we are investing in to the long-term and also taking advantage of the opportunities ahead of us.
Casey Haire: Great, thank you. And then I have a follow-up on the millennial strategy, the student loan refi, in particular. So that product is now seven years old 29,000 households. Can you give us some metrics in terms of how many -- what percentage of those households have come to that home purchase events and what percentage of that has First Republic gotten the single-family business?
Gaye Erkan: So we are doing a multiple things not just single family, but about 10% of that cohort are either doing -- is buying homes with us or refinancing the homes. As I've mentioned, the personal line of credit clients are coming in, they are closer to the home purchase or already have a home that they are refinancing with us. So that's a great directional trend, and also we are doing a lot on Eagle Invest side and financial planning with our millennial clients deepening the relationship on that front as well. So we're very pleased with the progress.
Casey Haire: Great, thank you. And just last one from me, the Democrats talk about rolling back the SALT cap. Obviously, that would be a very positive catalyst for real estate values in your market. How do you guys see it? Do you see that has a meaningful impact and how would it change your outlook?
Jim Herbert: It would be a favorable impact for the company net-net, because most of our markets have been adversely impacted by the change previously. I don't know if it's going to come back or not and no one is sure at this point. If it did, it would stimulate additional real estate activity in our markets for sure.
Casey Haire: Thank you.
Operator: We will now take our next question from Andrew Liesch from Piper Sandler. Please go ahead.
Andrew Liesch: Hi, everyone. Thanks for taking the questions. Just want to circle go back with the efficiency ratio and expense outlook here. I mean how do you see that playing out as the year goes on? I think maybe towards the higher end this quarter, with the seasonal expenses and trailing off? Yes, thanks. I'm at speed there.
Mike Roffler: Well, I think I would say the first quarter, if you look historically always is a little elevated and improved throughout the year, that's a seasonality thing because of this starting of payroll taxes and 401(k) contributions again, but I think we're going to be relatively stable during the year consistent with a growing balance sheets versus some uptick later. Because there we will grow -- we anticipate growing during the year to keep the efficiency relatively stable over the period.
Andrew Liesch: Got it. Okay, that's helpful. I guess the other leg of the stool on the revenue front though is the fee income line. Yes, I think there might be some seasonal aspects to the investment management fees here in the fourth quarter, but how do you see fee income trending now throughout 2021? This continued growth, I mean the growth in AUM has been -- it has been pretty fantastic?
Mike Roffler: Yes, I think the bigger base of assets under management with the market strength and the strength of net client inflow in the fourth quarter leads to growing revenue or growing fee income. I will say the fourth quarter did have a performance fee in it. So, you may not see growth in the first quarter in fees, but you will see it as the assets grow during the year.
Andrew Liesch: Okay, thanks. Yes. You've already covered all my other questions.
Operator: We will now take our next question from Brock Vandervliet from UBS. Please go ahead.
Brock Vandervliet: Good morning. Just a couple of market competition questions. Seeing a lot of activity focused on non-bank origination platforms. Most of that is obviously directed at the agency space as jumbo is such a small part of the overall market. Are you seeing any competitive threats from non-traditional platforms really directed at jumbo?
Gaye Erkan: So, that's a great question. So we are seeing lesser penetration into jumbo market, more into the conforming and the 30-year fixed base. What I would say, just to take a step back from a model perspective as FinTechs are disrupting the banking sector. The scarce commodity increasingly is going to be the trusted relationships and the customization elements that are going to be harder to find, and that's exactly where First Republic shines. So we see FinTechs more partnerships and collaborations that actually decreases transactional time and increases emotional time to allow for further customization. So we are using a lot of such collaborations to do that, as well as internal direct investments into technology to further empower the client and our bankers who are actually making the magic happen. So if you put all that together the models actually balance itself and in the markets that we are in we have after -- so many -- 35 plus years, we still have just about 5% market share. Great opportunity in the Seattle market, for example, and Florida and Wyoming, and a very successful next-gen millennial strategy. So bringing back some of the expense questions, there are so many great safe and sound organic growth opportunities ahead of First Republic, so we are bound to take advantage of those even in the face of the disruption, which actually allows us to increase the customer base.
Brock Vandervliet: Okay. And separately, I think I've always heard wealth management hiring being described as extremely competitive, you're seeing new entrants now in the form of Silicon Valley how is that competitiveness versus a year or a year or two ago?
Gaye Erkan: We continue to have a strong pipeline of wealth managers, who would like to join the First Republic model that's mainly driven by the holistic approach, one client, one trusted advisor, one relationship at a time. Actually, we have been deepening our relationship with our wealth management clients, the number of households have given us trial on the banking side from wealth management has increased, referred deposits have increased. So we stay quite competitive and very pleased with the results, and couple that with backlogs, and the pipeline, and rate logs so strong despite refi may moderate with rates increasing, purchase remains strong, and year-over-year we are very high on the mortgage pipeline side as well, especially on the single-family residential. So on both sides, we are doing a great job so far and creating a holistic banking delivered to all our clients including the wealth management clients coming in.
Brock Vandervliet: Got it. I appreciate the color.
Operator: We will now take our next question from David Chiaverini from a Wedbush Securities. Please go ahead.
David Chiaverini: Hi, thanks. Wanted to ask about the PPP loans on the balance sheet, it looks like about $250 million were forgiven in the quarter and about $100 million on an average basis. It looks like that added about 1 basis point to the NIM, as we look out to first quarter the first couple of quarters of 2021. How much in forgiveness are you expecting in each of those quarters and the potential impact on NIM?
Mike Roffler: So, yes. I think we did start to see forgiveness pick up in the fourth quarter. Also obviously with the recent law that was signed in there may be some acceleration on smaller dollars because of a simplified forgiveness process. I think by probably the end of the second quarter, maybe the third, most of the first round should be through the process, either forgiven or you'll have a remaining loan for the amounts that are not -- your estimate I think we had about $4 million of what I'll call extra accretion of the fees in the fourth quarter. There is only $24 million left and that's going to come in over the next couple of quarters, so it supports the margin ever so slightly probably in the first half of the year.
David Chiaverini: Great, thanks for that. And another housekeeping question. You alluded to a bump in performance fees in the fourth quarter. Can you disclose how much performance fees you had in the fourth quarter?
Mike Roffler: Yes, sure. It's about $18 million, and I would give you the other side of that too, is at about $13 million of it goes out in the form of compensation and sub-advisor costs, so there's not a lot that drops to the bottom line.
David Chiaverini: Got it. Thanks very much.
Operator: We'll now take our next question from Jared Shaw from Wells Fargo. Please go ahead.
Jared Shaw: Good morning, everybody.
Jim Herbert: Good morning.
Jared Shaw: Mike, just circling back on the expenses; you'd mentioned our investments in regulatory or making regulatory investments, is that more processes and systems related to the core or is that actually hiring more personnel in the regulatory oversight side?
Mike Roffler: I think it's just -- as a growing institution and being prudent and safe and sound, we're investing in people and resources to do that. I mean I think the question about expenses, we're supporting a larger bank and we also have tremendous opportunities to serve clients in front of us. And to be able to do that, you have to continuously invest in the franchise to do it better because that's what differentiates us frankly from a service model standpoint, and so that might be from a regulatory standpoint, it might be from a technology. But it's really about investing for that future growth because there are tremendous opportunities in front of us.
Jared Shaw: Okay. Great, thanks. And then, just looking at the single-family originations this quarter, did you notice any trends and in geographic movement whether it was bringing new customers in or following your customers sort of away from those urban coastal markets of San Fran, New York, LA or is it really not that noticeable?
Gaye Erkan: So to your point, San Francisco, New York, and LA and Boston refi has been strong in all of our key markets. In addition, a rebound in the purchase activity in Manhattan City Center and suburbs, while they have been suburbs and vacation homes and second homes they are doing exceptionally well, and we are seeing the Manhattan City Center to come back as well. And in addition to that, I would add of Florida and Wyoming and there is a lot of great opportunities in Portland, Seattle market as well that we have been seeing serving our clients there, so it's all full steam ahead and the pipeline continues to be very strong well over last year's levels at this time. In addition to rate logs also quite robust.
Jared Shaw: Great. Thank you.
Operator: And with that that does conclude our question-and-answer session. I would now like to turn the call over to Jim Herbert for any closing remarks.
Jim Herbert: Well, thank you all very much for being with us today. It was a very, very strong year and we are entering the New Year with a record backlog and a record size balance sheet. And our clients would be quite satisfied. So we're -- we anticipate a strong year in 2021 as well. Thank you very much for spending the time today.
Operator: And with that that does conclude today's call. Thank you for your participation. You may now disconnect.